Operator: Good day, and welcome everyone to the ImmunoGen Third Quarter Fiscal Year 2015 Financial Results Conference Call. Today’s call is being recorded. At this time for opening remarks and introduction, I would like to turn the call over to the Executive Director, Investor Relations and Corporate Communications, Carol Hausner. Please go ahead.
Carol Hausner: Thank you. Good morning. At 6:30 this morning we issued a press release that summarizes our financial results for the quarter ended March 31, 2015, the third quarter of our 2015 fiscal year. I hope you’ve all had a chance to review it. If not, it’s available on our website. During today’s call, we will make forward-looking statements. Our actual results may differ materially from such statements. Descriptions of the risks and uncertainties associated with an investment in ImmunoGen are included in our SEC filings, which also can be accessed through our website. In our call today, our Chief Executive Officer, Dan Junius, will provide an update on ImmunoGen; our Chief Development Officer, Dr. Charlie Morris, will discuss our lead wholly-owned compounds in greater depth; and our Chief Financial Officer, Dave Johnston, will discuss our financial results and guidance. We’ll open the call to questions after these update. Our Chief Scientific Officer, Dr. Rich Gregory will also be available for the Q&A part of the call. Dan?
Dan Junius: Thank you, Carol, and good morning everybody. We stated in our last call that we expect 2015 to be a notable year for ImmunoGen and think if anything that momentum has accelerated since then. We’re seeing encouraging findings mirvetuximab, soravtansine which is [indiscernible] the official non-proprietary name for what we had been referring to as IMGN853. But what we seeing these encouraging findings in the treatment of platinum-resistant ovarian cancer, and are preparing to advance this compound in this indication and also further expand its development program. You’ll hear more from Charlie about these plans shortly, but I should note that they were one of the key drivers behind the royalty transaction we closed earlier this month. We don’t want funding to slow the development of what we view to be a very promising compound. So findings to date in platinum-resistant ovarian cancer will be presented at ASCO, next month, so at that point, you’ll be able to see what we are seeing. You’ll also hear from Charlie about our promising our compounds for hematologic malignancies that would include IMGN529 for B-cell malignancies including diffuse large B-cell lymphoma and IMGN779 for acute myeloid leukemia and myelodysplastic syndrome. Additionally as you probably improbably found release we now regain rights to the CD19 targeting ADC coltuximab ravtansine also referred to as SAR3419, this has been in development with Sanofi. You might recall that the findings from its Phase 2 STARLYTE trial were chosen for oral presentation at ASCO last year, and also were selected for the best of ASCO. For this compound, the investigators noted that coltuximab ravtansine, had demonstrated significant activity this was at the single agent. In the treatment of relapsed/refractory diffuse large B-cell lymphoma and also that it has an acceptable safety profile. In terms of another compound, we also have opt-in rights with Biotest, to jointly develop and commercialize indatuximab ravtansine or BT-062 in the U.S. This CD138 targeting ADC is in Phase 2 testing for the treatment of multiple myeloma and also in Phase 1 testing for triple-negative breast cancer and metastatic urinary bladder cancer. So there are lot of promising compounds advancing in our pipeline, most of which we wholly own and BT-062 where we have opt-in rights. Beyond our own product programs, we continue to invest in our technology, as well as in our research program. For example, earlier this week, there are number of presentations by ImmunoGen scientists that AACR including ones in our DNA-acting payload agents on site-specific conjugation approaches and on the companion diagnostic for mirvetuximab soravtansine. Also our partners Sanofi and Novartis had presentations on novel ADC compounds they have developed using our technology. We expect additional partner compounds to enter the clinic this year and others all ready in the clinic to have data presentations and potentially meaningful development advance in the coming year. The most visible of these developments today is the Kadcyla data from MARIANNE study to be presented at ASCO on June 1, but I suspect that’s hard and everyone’s radar screen. With that, let me turn it over to Charlie to discuss our wholly-owned product programs in more detail.
Charlie Morris: Thanks, Dan and good morning everyone. Yes, we’ve got a lot going on our place right now and we expect this to increase going forward. I’ll start with mirvetuximab soravtansine, formerly known as IMGN853. It is the first and only ADC direct to the folate receptor alpha antigen to enter clinical testing, combining the tumor exposure benefits in antibody-targeting agent and our ADC technology. Folate receptor alpha is highly expressed on many cases of ovarian cancer and also on other types of solid tumors including some endometrial cancer and lung cancers. I think, now we started by assessing mirvetuximab soravtansine administered every three weeks in patients with tumors likely to express folate receptor alpha. Once we establish this recommended Phase 2 dose we began testing mirvetuximab soravtansine specifically for the treatment of platinum-resistant ovarian cancer and relapsed refractory endometrial cancer in patients pre-screened for robust target presence again using the every three weeks dosing schedule. As Dan noted, we’re encouraged by the finding today with this product in ovarian cancer and are preparing to expand this assessment for this use. As discussed previously, our first step is increasing the size of the current study cohort in 20 to 40 patients to give us additional efficacy and safety experience. We are now also coming to start Phase II clinical testing with mirvetuximab soravtansine used as single agent in patients with platinum-resistant ovarian cancer. The study is being designed to support the possibility of accelerated registration approach in this cancer. And planning the study and thinking about for registration pathway, there are similar [indiscernible] to addressing all the supporting issues, such as those related to [indiscernible]and clinical materials and having a companion diagnostic. And we’re planning this year to initiate assessments of mirvetuximab soravtansine use this positive combination regimens as issued further expand the opportunity to help patients with folate receptor alpha positive ovarian cancer, including patients with less heavily pretreated disease. We have received input from opinion leaders in this area, and they are helping us to think about the full spectrum of need and how we might best address these needs with mirvetuximab soravtansine. We had applied for and received orphan drug designation for ovarian cancer in the United States sometime ago, that but didn’t yet have to finding data security in Europe. I’m pleased to report that we recently gained orphan drug designation for ovarian cancer in the EU, as well. In addition to ovarian cancer, other types of solid tumors can high express folate receptor alpha. We have a cohort open assessment for target positive endometrial cancer and are also evaluating it – assessing it in target positive non-small cell lung cancer. We will be telling the next steps in these cancer types when we have the date to do so. I just like to tell we are pleased with the findings we’re seeing with the administration of the mirvetuximab soravtansine. However, to sure we’ve optimize dosing we’re also evaluating a weekly schedule to determine this to provide additional benefits. Dose exploration is ongoing and the findings we have to-date is being reported at ASCO next month. So there is a lot going on with mirvetuximab soravtansine. Turning now to our IMGN529 agent for B-cell malignancies, the CD37 targeting ADC is currently in the dose-finding portion of a Phase I trial assessing it to a single agent in patients with non-Hodgkin lymphoma. The findings with IMGN529 to-date are encouraging, particularly in the treatment of non relapsed/refractory [ph] diffuse large B-cell lymphoma and we plan to initiate assessment of the compound specifically in the treatment of this cancer mostly have been recommend Phase 2 dose. We also start plan to start evaluating it for the treatment of chronic lymphocytic leukemia and of the highly CD37-positive malignancies. Additionally, we have seen interesting findings pre-clinically with the use of IMGN529 in combination with mirvetuximab and are preparing to start the trial later this year to accept this combination in the clinic. These preclinical findings are set for presentation at the International Conference on Malignant Lymphoma Meeting in Lugano, which will be in June. So a lot is going on this company compound, as well. As Dan noted, we’re gain rights to CD19-targeting ADC, coltuximab ravtansine, previously known as SAR3419 from Sanofi. Clinical findings for this product candidate selected for all presentation at ASCO 2014 and for Best of ASCO as Dan noted. The compound demonstrated the 43.9% objective response rate as a single agent in the treatment of heavily treated DLBCL, those of studies outlook 20%. The main toxicities for hematological is expected in this patient population and then the actual events with Phase I or II reflecting the dose optimization with Sanofi did generally at the Phase I investigations. We think it is a particular interest with response to coltuximab ravtansine we’re seeing in patients with – irrespective of the [indiscernible] transportation, i.e. responses in both patients with GCB and ABC subtypes of DLBCL. As you know a number of the new agents under investigation for this disease are just to demonstrate a very little activity against pretreated GCB disease. So we believe the coltuximab ravtansine activity in relapsed/refractory DLBCL all classifications may allow us to talk to broad population than some of their agents. So I mean we now have two agents with potential in B-cell malignancies and we are developing plans to maximize our opportunity in that space. I wrap up my comments by noting that we are on track for submitting the IND for our CD33-targeting ADC, IMGN779 later this year. It is a new essential treatment for acute myeloid leukemia and myelodysplastic syndrome and uses our new DNA-acting payload platform. Preclinical finding for it has been accepted for presentation at the Annual European Hematology Association Meeting in June. So many clouds under way, remote start, and I love to take the presentations coming up. With that I’ll turn the call over to Dave to discuss the financials.
Dave Johnston: Thanks Charlie. As Carol noted, we issued a press release this morning with our financial results for the quarter ended March 31, 2015, which is the third quarter of our fiscal year 2015. I’ll discuss the highlights of that and then review the updated our guidance. Our revenues in the quarter were $11.4 million as compared to $6.9 million for the same quarter last year. The current period includes $5.1 million of revenue from license and milestone fees which is principally $5 million cash milestone payment earned from Novartis. Our third quarter financials also include $5.1 million in royalty revenue earned on sales, on Kadcyla, compared to $2.6 million in the same period last year. As you know, we’ve recently reported Kadcyla royalty monetization transaction, which will be reflected in our financial reports starting next quarter. Operating expenses in the third quarter of fiscal year 2015 were $32.7 million, compared to $44.3 million in the same quarter last year. R&D expense was higher in the prior year because it included the $12.8 million non-cash charge related to the collaboration agreement we had executed with CytomX. In this year’s third quarter, we had a net loss of $21.6 million, or $0.25 per share, compared to a net loss of $37.5 million, or $0.44 per share, in the same quarter of last year. We ended the quarter with $111.8 million of cash and marketable securities, compared with $142.3 million as of June 30, 2014. Our cash used in operations was $27.4 million in the first nine months of fiscal 2015 and our capital expenditures were 4.5 million. Subsequent to the close of this quarter, we completed the Kadcyla royalty monetization transaction that provided us with net proceeds of approximately $194 million. Based on this transaction and on our greater visibility into the expected timing of some partner milestone events in research related expenses, we are updating our guidance for the fiscal year ending June 30th. We now expect revenue to be between $85 million and $95 million, versus prior guidance of between $100 million and $105 million. We now project our operating expenses to be between $145 million and $150 million, compared to previous guidance of $160 million and $165 million. Our guidance for our net loss remains unchanged, however, and is expected to be between $60 million and $65 million. Our guidance for cash used in operations and for capital expenditures is also unchanged, with cash used and operations projected to be between $55 million and $60 million and capital expenditures are totaled between $7 million to 9 million. We now expect to end the year with between $265 million and $275 million in cash and securities, compared to previous guidance of $75 million to $85 million. So we’ve substantially expanded our liquidity leaving us well positioned to support our product programs. So with that, let me turn the call back over to Dan.
Dan Junius: Thanks, Dave. So over the course of the year, we look forward to providing you updates in a number of areas. Finding some patients with platinum-resistant ovarian cancer treated with mirvetuximab soravtansine will be presented at ASCO on May 30th. We’re on track to expand its initial assessment in this cancer from 20 patients to 40 patients and are preparing to started Phase II trial in this indication later this year that could potentially support an accelerated registration pathway. We’re also preparing to initiate a trial assessing as part of a combination regimen for ovarian cancer this year. Patient enrollment is ongoing in the expansion cohort assessing mirvetuximab soravtansine for target positive relapsed/refractory endometrial cancer and we’re evaluating its potential in other target positive indications as well. We’re also continuing assessment of a modified weekly schedule and we’ll be reporting the findings to date at ASCO also on May 30. Dose finding is ongoing in our Phase I trial of IMGN529 in non-Hodgkin lymphoma. Once we have the recommended Phase II dose we’ll begin its assessment in relapsed/refractory DLBCL and begin dose exploration in CLO. We expect this to happen around mid-year. We’re targeting ASH presentation of the next data with IMGN529 used as a single agent. Preclinical findings with it use in combination of Rituxan will be reporting in Lugano as you heard from Charlie and we’re preparing to start a clinical trial with this combination in the second half of this year. For coltuximab ravtansine, we’re assessing next steps and expect I’m going to share with you later this year. And for IMGN779, we’re on track to advance its IND submission in the second half of this year and expect to begin patient dosing than early next year. And then a few highlights for key partner programs. The finding with the MARIANNE trial with Kadcyla are scheduled for presentation at ASCO on June 1st. We’re also indicated the expected readout from Kadcyla GATSBY trial and gastric cancer this year and if positive to submit for approval for the use of study. We expect global sales of Kadcyla continue to grow, we’ve seen that in the data reported by rose just earlier this week that Kadcyla continues to expand with acceptance and an increased use of ex-U.S. We expect data disclosures and our developments for other product candidates in the clinic through our partnerships and additional partner compounds to advance in the clinic this year and also to note that continues to be considerable interest in our technology, I think, the Takeda license that we announced earlier this month is an indication, I guess it was now in March, but speaks to the continued interest in ADCs in general and in particular in our technology. So all in all continues to be a very active year and that we look forward to reporting our progress as we go forward. So with that let me turn it back to Carol for the Q&A.
Carol Hausner: Hi, thanks Dan. We are about to open the call to questions. We would like to ask everyone to limit your questions to one to two per person until everyone has had a chance to ask their questions. Operator we are now ready open the line.
Operator: [Operator Instructions] We will go first to Chris Marai of Oppenheimer.
Chris Marai: Hi, good morning guys, thanks for taking the questions. First question really is regarding IMGN853, you certainly indicated that you gain interesting signal here in your recent study. If I look more correctly prior to studies that you had presented may be a year two ago now, has not looked all that interesting on the efficacy side. And I’m wondering if you could help us highlight the difference between the patient population perhaps or the two studies and why we might be seeing a stronger signal? Is that related potentially to only [ph] expression? And then finally I was curious if you could maybe help us understand IMGN779 the CD33-targeted ADC if I'm correct? And I think one of your competitors out there in ADC [indiscernible] hasn’t been similarly – similar. So I’m wondering if you may be contract that you have purchased. Thanks.
Charlie Morris: Yes, thanks Chris. I’ll start with the IMGN853 question. I mean first of all I think we are about five weeks away from ASCO. So I think a lot of the obvious questions we will be able to discuss in much more detail, once the date become clear. But I think the two key points, the first is obviously the date that we released earlier was in dose escalation. We have not identified a recommended Phase 2 dose. And we were doing that in a relatively broad population of patients with unlimited number of high life therapy and with quite broad acceptance of the folate level. I think as we have gone into those expansions we’ve had much more limited number of prior lines therapy. We have been screening it for folate expression. And we have a dose, and so I think that is a combination of those factors that put us in a position, where we’re seeing – what we think is interesting levels of activity and we will disclose more information on that, next month. So I will hand over to Rich so that may be talk a little bit about IMGN779.
Rich Gregory: So as you know IMGN779 program is our first program that we’re talking into the clinic with our new DNA-alkylating facts [ph]. It’s really advance for us in targeting cancers that will have DNA sensitive targeting. Yes, Seattle Genetics does have a competitive program in this space taking forward also a DNA cross-linking drug and this is the primary difference between our drug and theirs, which is has in our hands a better safety profile that you see with a DNA cross-linking drug. So we think that we’re going to have a better therapeutic index as we take our program forward.
Charlie Morris: Great and that program currently was in AML?
Rich Gregory: Yes it’s back in the queue.
Chris Marai: Perfect. Okay, thanks. Appreciate the color.
Operator: Thank you. We’ll go next to Jason Kantor of Credit Suisse.
Jason Kantor: Great, thanks so much. You discussed a possible accelerated path for IMGN853. I think you have spoken about this previously, as well and I’m wondering if you have had any additional communication with the FDA? I know for other agents in ovarian they’ve been pretty reluctant to do anything except overall survival. And I’m wondering are you planning to seek a breakthrough therapy designation for the drug which I think might help in an accelerated path? And then finally, on the EGFR program, I’m not sure if you mentioned it in your comments but I thought in the press release it said that that had gone back into research. I’m wondering if you can give us some details there.
Rich Gregory: Thank you, Jason. Yes, we have not had that conversation with the FDA at the moment, I think, what is notable of course is that has been an accelerated approval for AstraZeneca [indiscernible] space, so I think we have at least some sense in a well-defined, well-described population what the level of activities might be required to consider accelerated approval. Obviously, we will take the opportunity when we have the appropriate [ph] date to discuss the opportunity that we see with the agency, but we don’t have that conversation at this point. In terms of breakthrough starters we’re not taking anything off the table, we think that we need to get to the end of current study to have that type of conversation, whether that’s achievable that’s really going to be down to that conversation in that time but we would agree obviously if we believe that it meets the criteria or we would seek it. IMGN289, that has been in Phase 1 testing. As you know in heavily pre-treated patients we have seen an unexpected safety concern and therefore we decided that we should take that after current study and do some additional evaluations pre-clinically to try to understand that and save that something that we can work around.
Jason Kantor: And can you tell us what that safety concern is?
Daniel Junius: You know I think at this stage we’re not going to be disclosing we that needs to come out in the appropriate sort of clinical settings in the due course. And as we do the post evaluations we’ll be able to provide us with comprehensive description and hopefully explanation of the events we’re seeing.
Operator: Thank you. We will go next to Mara Goldstein of Cantor Fitzgerald.
Mara Goldstein: Thank you very much. I'm hoping you can give us just a little bit more color on coltuximab ravtansine and around the return of rights and how that fits into your budgeting planning for the upcoming year given accelerated development of some of these other agents?
Daniel Junius: Mara, its Dan.
Mara Goldstein: Hi Dan.
Daniel Junius: We are looking at that and we have – given the fact that we have now another agent for B-cell malignancies. We want to take a look at that along with 529 and we will evaluate what the advantage of each is where they fit either together independently and move forward. At the moment, I don’t think we anticipate a significant impact from a budget standpoint going forward. We have some decisions to make certainly where we to be advancing both and I think we need to see some pretty compelling data to say we advance in both. I think that right now our leaning is that we’re going to evaluate each of them see what the advantages are and either through some head-to-head comparison or based on other criteria, decide which is one to take forward. But I don’t expect it to be terribly disruptive from a financial standpoint.
Mara Goldstein: Okay, if you choose only to advance one compound, is the other compound a candidate for out licensing? Would that be the plan?
Daniel Junius: Potentially we want to work that one through as well, that the few different things to considered when we go through that and one is to we want to be creating our own competitors but that’s just one of the number of factors that we look at it as we evaluate assets and what the appropriate place is for them.
Mara Goldstein: Okay. Thank you.
Operator: Thank you. We will go next to Jessica Fye of JPMorgan.
Jessica Fye: Great. Thanks. I guess first, can you just clarify whether the Phase 2 study that you are starting later this year for IMGN853 could potentially be used as a registrational study? Or I guess what is it you mean when you say could support an accelerated registration pathway? And then second, just where are you in development with your companion diagnostic and do you need a diagnostic strategy finalized before you move into any kind of pivotal study?
Charlie Morris: Yes, thanks Jessica, what we are planning is that the Phase II study would be of a sufficient size to create a sufficiently large database and to be able to have confidence in the size of what we see in terms of the benefits treatment that that would something that we would hope that we reviewed in the FDA – you can never be guaranteed that was an accelerated approvals, it’s going to be dependent on data. But we are certainly ensuring that in embarking upon the next levels of investigation that we have every single line booked so that if we continue to see the level of activity we see now, we would be in a position to go to the agency with those data and discuss that possibility for approval. To that end we’ve got the [indiscernible] pieces workout and indeed we have signed a deal around the companion diagnostic and we’re doing the work on that in parallel. So we’re just making sure that everything is to enable that to happen should the data support to the end of that study.
Rich Gregory: Yes [indiscernible] just to add a little to Charlie’s comments we’re not – we at the same time, we’re not doing this in vacuum or we’re conversation with experts in this field around ovarian to get their input around data coming out of the study. And so we’re testing our assumptions what we’re seeing with the data to ensure that their well grounded. But the approach to make sure that a study could potentially qualify the pivotal study as Charlie noted is comprehensive, we’re trying to look at all the dimensions that the regulators we’ll look at and make sure that we have the foundation in place that would support both the discussion in a potential filing of the data wants it.
Jessica Fye: Okay, thanks. And just one follow-up, it sort of sounds like you are focusing us on ovarian cancer for IMGN853, should we read this as the emphasizing the endometrial opportunity or where do we stand there?
Rich Gregory: I think it’s more about emphasizing the ovarian opportunity, It’s a more common disease at least in the advance settings and certainly now hence we’re seeing considerably higher numbers of patients with expression of the target in ovarian cancer than we are in endometrial. So in large part this is about the fact that we have more data in ovarian and we like what we see. So I wouldn’t take this the emphasis I would see it more as an emphasis in ovarian and I think the pathways forward there are becoming clearer as we get more data and as we interact with opinion leaders, who are giving us the input need.
Jessica Fye: Great, thank you.
Operator: Thank you, we’ll go next to Michael Schmidt of Leerink.
Michael Schmidt: Hi, good morning and thanks for taking my question. I just had a follow-up on SAR3419, the CD19 ADC. I guess what was behind the Sanofi decision to return the rights to this compound; it seems a bit surprising in light of the ASCO data presented last year. And I noticed that Sanofi recently announced collaborations with other ADC technology companies. And I was wondering if there is anything – any concerns behind the technologies that cost Sanofi to move forward with this step.
Dan Junius: Michael, I can’t speak comprehensively at present that the indication to us and giving advance to us that it was a portfolio decision. And as you know they’ve done some realignment within their oncology research area. That the – embedding your question what you suggest around technology, I mean, there is comprehensive data at this point around 3419 and it’s indicating both solid activity as well as a good safety profile. So I think people can judge for themselves of about whether that suggests anything from a technology standpoint certainly the data that they presented thus far does not. But we deal with a wide range of partners and – went up with some decisions that that reflects their internal strategic direction that that are always crystal clear to us, but each company has some motivations. So I wouldn’t try to overanalyze it.
Michael Schmidt: Got it, okay. And can you update us on the status of the CD38 antibody that’s part of the Sanofi as well?
Dan Junius: I am afraid that’s going to fall into the same category, that’s in Sanofi’s portfolio. And we don’t – we really don’t want to put ourselves into position of disclosing information that should be disclosed by our partner. So they’ve spoken very highly and what they featured at ASCO last year, but in terms of their current plan that I think I point you to Sanofi for that.
Michael Schmidt: Great, thanks so much.
Operator: Thank you. We’ll go next to John Newman of Canaccord.
John Newman: Hey, thanks for taking my question. So I had sort of a two part of question. The first one is it sounds like based on your comments that you are encouraged specifically by the magnitude of activity that you’re seeing with 853 in ovarian cancer, but you are also planning to take the compound forward in terms of combinations studies in Phase 2. Should we interpret that as sort of allowing for the current FDA regulatory environment in terms of perhaps combining with Avastin or are there specific combinations that you have in mind in there, it sounds like you’re quite positive on what you are seeing in terms of a single agent. So I’m just curious if there are specific things that you are thinking about doing in Phase 2 just to kind of satisfying the agency. Thanks.
Rich Gregory: Yes we are highly encouraged by what we are seeing as a single agent and just note again, that’s – I think all our conversations what will help and that date comes perfectly on [ph] at ASCO in a few weeks time. From a combination point of view, the cancer has never been made to be successfully tackled by single agents and we think that the future opportunity will be probably in combination not just in single agent, I think, there are pathways for approvals as a single agent and we hope to go after those. But there are as you note, newly approved agents in the area and things where we believe that the combination could add even more that we’ve been doing some pre-clinical work, that’s minimum to understand that. We haven’t disclosed yet what those combinations will be, but they will be based upon pre-clinical information that we have and those agents which are widely used in the marketplace today. The Phase 2 that we are designing is a single-agent study and that would be the hope of really, completely characterizing the Phase 2 activity and seeing whether that Phase 2 activity could be enough to support approval though that would probably be in a later line setting. I think to get into the earlier lines of settings compete with the multi-agent chemotherapy combinations that exist today we probably need to be in combination to have greater trends of success there. Hopefully, this improves safety profile and hopefully with a better efficacy profile to enable that to be successful.
John Newman: Okay, great. Thank you very much.
Operator: Thank you. We will go next to Andrew Peters of UBS.
Andrew Peters: Hey, guys. Thanks for taking my question. Apology if this has been asked already. I had some phone troubles throughout the call. Just curious on 779, was wondering if you are using anything that you can learn from the Seattle CD33 program to maybe help in terms of trial design whether that’s patient selection or kind of identifying other potential compound to combine it with the increase activity? So I think CD33 is an interesting target, just curious your strategy going forward there and what you can learn from others? Thanks.
Rich Gregory: Yes, I mean obviously we would watch what other people are doing and we try to understand their efficacy profile, we try to understand their safety profile and we’ve – they are a little ahead of us, so we have clearly got to understand, how we can be competitive. So I think watching what they’re doing, will provide us some important learning, but we’ve also got to believe in the preclinical data from our own product and the data that we put together much of which is now being presented. To make some those decisions based on what we believe will be the right thing for our product. But Seattle has already presented some interesting data and we hope we will have similarly, if not more interesting data, as we get into the clinic in the coming months.
Andrew Peters: Great, thank you.
Operator: Thank you. We’ll go next to Jason Kantor of Credit Suisse.
Jason Kantor: Thanks for taking the follow-up. Just wanted to ask kind of a bigger picture question. You are talking about moving into a potentially registrational study which I think will be fantastic. Are you prepared to take this drug all the way and become a commercial entity in cancer? Is this something you want to sell in the U.S., sell globally? What is your strategic thinking?
Dan Junius: Jason, it’s Dan. We’ve had discussions about this, as far as I can remember when people ask us the question about what the long-term strategy is. And now I think it’s coming into sharper focus around IMGN853. The game plan would be, to answer your question directly, yes, we would intend to take this forward ourselves and commercialize it. The caveat would be looking at the range of lines of therapy with an ovarian, looking at indications we’re fully [indiscernible] as expressed, there is the potential for broad application for this particular compound. And so I think to be realistic in our expectations or in our ambitions, we would be focusing those on a limited geography. Certainly the U.S. whether that’s North America is, I’ll say a detail, but we would be looking for a global partner, who we would work within to deal with both the scope and complexities of global development. And I think those can be both complementary and successful in allowing the company to bring this compound forward on an accelerated basis, while also transitioning us from what I would now characterize as the development-stage company to a fully commercial company. So that is the ambition, we put the financing in place now to take us through the next phase, I think, that a global deal as I’ve described would provide additional financial support to be able to advance this on a prompt or an expeditious basis. And also open other opportunities for us to bring additional funding into support further development of IMGN853, as well as our further proprietary pipeline.
Jason Kantor: Thank you.
Operator: Thank you. We will go next to John Newman of Canaccord.
John Newman: Hi, thanks for taking the follow-up question. My question is can you tell us when you’re talking about the experiment that you have around the level of activity that you’re seeing, can you tell us as to how this compares to the statements that you made on the previous call, where you said you’d want to see something sort of in the 20% to 30% response range to push this forward. Should we be thinking about magnitude of response with respect to current agents or magnitude of response with respect to your prior statements or combination of both? Thanks.
Dan Junius: I think the – sorry to come back to the obvious response, but I think this is going to be much easier conversation in about five weeks time. It’s a five weeks from tomorrow in fact. So let us clearly we – what we have said previously and what we are seeing and saying today are fully consistent with each other. But we are in an area of least buy response rate, where, I think, people will be interested in the product, when they see it, where we have investigators and opinion leaders who are interested and what we are planning to do and or encouraging us to take this forward to the next level. In just a few weeks time hope that we can get more into the detail of that and really have a lot more color and make the conversation a little bit easier.
John Newman: Okay. We’ll anxiously await that data. Thank you very much.
Rich Gregory: Yes and actually abstracts come out in…
Carol Hausner: Mid month.
Dan Junius: Yes.
Carol Hausner: About three weeks.
Dan Junius: So three weeks as opposed to the five weeks and hopefully that will provide some additional color.
Carol Hausner: So we will be updating shortly.
Rich Gregory: Sure. Yes.
Dan Junius: Yes.
Carol Hausner: I think on that note I think we are done with questions. I think we’re out of questions and so I want to just thank everyone for your interest in ImmunoGen. And if you have any subsequent questions, please don’t hesitate to give us a call. Take care.
Operator: Thank you for your participation. That does conclude today’s conference.